Operator: Thank you for standing by. This is the conference operator. Welcome to the Microvast First Quarter 2023 Earnings Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, investment community professions have the opportunity to participant in the question-and-answer session. [Operator Instructions] I will now like to turn the conference over to Monica Gould, Investor Relations for Microvast. Please go ahead.
Monica Gould: Thank you, operator and thank you for joining us today. Joining me on today's call are Mr. Yang Wu, Founder, Chairman, President and CEO; Sascha Kelterborn, Chief Revenue Officer; and Craig Webster, Chief Financial Officer. Ahead of this call, Microvast issued its first quarter 2023 earnings press release, which can be found on the Investor Relations section of the Company's website, ir.microvast.com. In addition, we have posted a slide presentation to accompany management's prepared remarks. As a reminder, please note that management will be making forward-looking statements on this call. These statements are based on current expectations and assumptions and reflect our view only as of today. They should not be relied upon as representative about views as of any subsequent date and we undertakes no obligation to revise for publicly released results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect the Company’s financial results, please refer to Microvast filings with the SEC, including the Annual Report on Form 10-K filed on March 16, 2023, and the 10-Q filed earlier today. In addition, during today's call, we may discuss non-GAAP financial measures, including adjusted gross profit, adjusted net loss and adjusted EBITDA, which we believe are useful as supplemental measures of Microvast performance. These non-GAAP measures should be considered in addition to and not as a substitute for or an isolation from GAAP results. These non-GAAP measures have been reconciled to their most comparable GAAP metric, and the table is included at the end of our press release. Webcast replay of this call will also be available on the Investor Relations section of our company website. And with that, I'd like to turn the call over to Yang Wu for opening remarks.
Yang Wu: Thank you, Monica. And thank you all for joining us today. I'd like to start off with a high level overview of the quarter before providing some operational highlights. I will then turn the call over to Sascha Kelterborn, our Chief Revenue Officer, who will discuss some of our key wins in the quarter, followed by Craig Webster, our Chief Financial Officer who will discuss our financials in more detail. I will then address our outlook for Q2 and a full year 2023 before opening the call up to your questions. Everyone, please turn to Slide 10 as I cover a few highlights from the first quarter. We posted 28.1% revenue growth in Q1 2023 delivering revenue of 47 million. This exceeded our expectations as our European commercial vehicle customers began initial production and supply chain issues began to abate. We achieved a double-digit gross margin, with a more than 8 percentage point year-over-year increase. We ended the first quarter with that record backlog of $486.7 million driving by a housie order intake of $62.7 million led by significant ramping sales to European customers. Our most significant achievement in Q1 was a completion our Phase 3.1 expansion, in Huzhou China, which started the trial production of the 53.5Ah cell. We continue to increase our production rate in line with delivery schedules provided by our customers, especially in the U.S. and Europe. We estimate that this initial 2 gigawatt hour of cell module and pack capacity gives us that incremental 500 million in revenue potential. As you can see from our backlog numbers, there is already significant customer demand for our new product and over 50% of the full year capacity at a Huzhou is already contracted. We expect customer orders and deliveries to get increasingly strong as the year progresses and for that to be broad based across the U.S., Europe, China and Asia Pacific regions. With the Huzhou expansion now completed our remaining capacity expansion plans for the year centered on our new U.S. facility in Clarksville, Tennessee. This will initially have an annual capacity of a 2 gigawatt hour. It is in full construction mode. We'll start our production targeted for Q4 of this year. We would also like to provide a quick update on the Mexico ESS container assembly hub we mentioned our Q4 '22 earnings call. We have list the new facility Mexicali, which is very close to the U.S. border. And we are currently working on installing a container assembly line. We expect to ship finish the 4.3 megawatt hour containers directly from our Mexicali facility starting in Q3 to customer project sites in the U.S. with many of those being located in the southwest Sunbelt. I would now like to turn the call over to our Chief Revenue Officer, Sascha Kelterborn, who will discuss some of our key wins and achievements in the quarter.
Sascha Kelterborn: Thank you, Mr. Wu, and thank you for all joining us today. First, I would like to provide a little it more color on our backlog. Record 486.7 million backlog includes orders from more than 80 customers representing a wide array of commercial vehicle platforms, many of which are or will be multiyear projects. Approximately 22% of our backlog is for European customers and 69% for U.S., including ESS project. This gives us the confidence that we will see significant growth in both regions over the coming quarters. Now please turn to Slide 7 as I cover a few highlights from the first quarter. Following our initial contract announcement in January of last year, we were very pleased to sign significant new orders with the vehicle one of our largest customers for a new 53.5Ah battery pack, which will power the new costs very low entry city and intercity bus platforms. Our high energy density battery packs on the bus ranges from 400 to 466 kilowatt hours, depending on operators mission requirements, and they set new standards in terms of energy density and charging capacity. Furthermore, we provide the crossway with up to 10 years of battery life. We received an order for over 350 units of our 17.5Ah battery pack from XCMG, a leading global OEM of construction equipment for the hybrid truck. We also received major orders from Gaussin for the U.S. business, where we supply our new 53.5 hour battery pack to their full electric logistics vehicles. On the back of our announcement earlier this year with REE, we began SOP delivery of our 53.5 hour pack, which will power the Company's full electric P7 skateboard platform. The P7 is the industry flattest EV platform and it's suitable for applications such as commercial trucks, school buses, walk-in vans, and delivery box trucks. And lastly, we start SOP deliveries of our 21Ah battery pack to CAMC, this Chinese leading heavy duty truck OEM for the 49 ton contractor. Our initial order calls for the delivery of more than 50 system units. We continue to expect order volumes to increase over the course of '23 as we ramp up production of our 53.5Ah sales on our new fully automated line in Huzhou to meet customer commitments. Please turn to Slide 8, which highlights the significant growth in our European commercial vehicle business. Our European revenue almost tripled year-over-year in the first quarter and accounted to 22% of our total revenue up from 7% of revenue a year ago. This growth was driven by the initial ramp of several customer projects, some of which I mentioned earlier and added by an improving supply chain. Going forward, we expect government led initiatives such as European Green Deal U.S. planned to ban combustion engine vehicle sales by 2035, along with U.S. IRA initiatives, continuing to be a significant driver of electrification initiatives. For example, on the commercial vehicle side, a total of 27 governments have already pledged to achieve 100% zero emission bus and truck sales by 2040. With that, I will turn now the call over to Craig to review our financial performance.
Craig Webster: Thank you, Sascha. I'll spend the next few minutes discussing our Q1 2023 financial results, Please turn to Slide 10. And I will summarize the main line items from our Q1 P&L. First off, we recorded our highest ever Q1 revenue of $47 million, an increase of 28.1% from $36.7 million in Q1 2022. The year-over-year growth was primarily driven by increasing deliveries by European customer base, as Sascha just covered. Our gross margin rose to 10.3% in Q1 2023 compared to 0% in Q1 2022. After adjusting for noncash settled share based compensation expense in cost of sales, just a gross margin increase of 13.5% in Q1 2023 compared to 5.2% in Q1 2022 and 8.3 percentage point improvement. The increase in gross margin was largely due to production efficiencies and more favorable product mix and one of services these R&D. Operating expenses worth $36.2 million in Q1 2023 compared to $43.4 million in Q1 2022. Similar to previous quarters of the largest contributor to the decrease in operating expenses, with a decline in our share based compensation expense which totaled 16.4 million in the quarter compared to 26.2 million in Q1 2022. After adjusting for non-cash SBC expense in SG&A, our registered operating expense in Q1 2023 was $19.8 million compared to $31.1 million in Q1 2022. GAAP net loss was $29.6 million in Q1 2023 compared to net loss of $43.8 million in Q1 2022. After adjusting for non-cash SBC expense and changes in fair value of our warrant liability, adjusted net loss was $11.7 million in Q1 2023 compared to an adjusted net loss of $29.1 million in Q1 2022. You can see the impact of these adjustments in Slide 11 and reconciliations of these non-GAAP metrics to the most comparable GAAP metrics are included in the tables at the end of our earnings press release. Slide 12 shows a geographic breakdown of our revenue of Q1 2023 compared to the prior year period. As you can see, our European business showed a strong 270% year-over-year increase and accounted for 22% of our revenue up from just 7% a year ago, as our key customers began serial production of their vehicle. As we outlined last quarter, a large percentage of our commercial vehicle backlog is from European customers who are launching the electrified models for the first time. We continue to expect volume growth in our European segment, especially for the 53.5Ah cell as customers expand production. Our U.S. revenue increased 62% year-over-year. We continue to expect U.S. revenue to rise this year as we begin deliveries on our 1.2 gigawatt hour ESS project in the second half of the year. In 2024 and beyond, we expect the U.S. revenue growth to remain strong as we begin to meet opportunities in the U.S. markets from our Clarksville facility. Once online, we expect Clarksville to have high capacity utilization based on current and anticipated orders. We should be in a position sooner rather than later this year where we will need to start planning for additional capacity. As you know, our investment decisions to further expand capacity are always predicated on confirmed customer orders. Turning to Slide 13, we ended the quarter with cash, cash equivalents, restricted cash and short-term investments of children $285.8 million. Net cash using operating activities during the quarter was $11.2 million, which was primarily due to our operating loss. Negative free cash flow of $47.1 million was mostly as a result of our CapEx spend on Huzhou 3.1 and Clarksville 1.8 in Q1 2023, which totaled $31.4 million. We also had capital expenditures totaling $4.5 million for improvements to our existing facilities and ongoing R&D projects. With Huzhou 3.1 now completed, we will be drilling down on the remaining balance of around $67 million for our project finance facilities to meet final milestone payments, totals contractors and equipment suppliers. We believe that all remaining payments will be satisfied from that facility. We closed the quarter with record backlog of $486.7 million up from $410.5 million in the fourth quarter. The 19% sequential growth in our backlog was driven by commercial vehicle projects in Europe. This once again underpins our strong conviction in our full year guidance and our belief that 2023 is just the start of a number of high growth years for Microvast. This sales growth is already allowing us to access more financing options. In Q1, we added a $17 million credit line $9.5 million of which remains undrawn. Our sales continue to increase quarter-over-quarter. We expect to add additional working capital credit line and our current estimate is that we would add a further $20 million to $30 million by the end of Q2. Looking ahead, we estimate that full year capital expenditures will remain in the range of $180 million to $210 million and will primarily be used for ongoing construction in Clarksville. As we have mentioned before, we believe Clarksville can easily support some modest debt financing. The growth in backlog, the additional margin and cash flow applied from IRA and our proven experience and bring it online capacity will clearly resonate with lenders. With that, I'll turn it back over to Mr. Wu to review our outlook.
Yang Wu: Thanks Craig. Pretty turn to Slide 15. As a result of our outperformance in the first quarter, we are raising our annual revenue guidance for the full year from a range of $336 million to $358 million, representing year-over-year revenue growth 65% to 75% to a range of $348 million to $368 million, reflecting growth of 70% to 80%. For the second quarter, we expect the revenue to be in the range of $63 million to $67 million, up slightly from Q2 a year ago at the midpoint, driving by the continue ramp of our European commercial vehicle projects, as well as orders from customers in Asia Pacific. With a strong and growing backlog, we continue to have good visibility into 2023 driving by European commercial vehicle projects, entering the production phase and the ramp up for our energy storage business. We are seeing strong demand for our products globally and expect that our momentum will continue as customer volumes ramped throughout the year and beyond. On last quarter's call, I noticed that execution will remain critical to our ability to achieve our targets. We're very pleased with the progress we made in the first quarter, accelerating both revenue and a backlog gross, completing our capacity expansion project in the Huzhou and it driving substantial gross margin improvement. We continue to expect that the Inflation Reduction Act of 2022 to be important legislation advancing clean energy initiatives and a helping our reduce carbon emissions in the U.S. while creating even more exciting, direct and indirect business opportunities for Microvast going forward. Our global Microvast team are focused, orientated culture and our ability to execute has been an a will be a competitive advantages or Microvast. And I would like to personally thank the Microvast team for their tireless work and a commitment to our mission before turning the call back over to the operator to start the Q&A session.
Operator: [Operator Instructions] And our first question comes from Colin Rusch from Oppenheimer. Your line is open.
Colin Rusch: Congrats on the gross margin improvement here. I want to dig into that just another layer deeper. Can you talk a little bit about the yield trends you're seeing on the capacity as you ramp up the 53.5Ah cells and your ability to drive some incremental margin as you get up to some of that higher revenue levels?
Yang Wu: Craig, do you want this question or you want to be after this question.
Craig Webster: I'll take it and Colin good to hear the voice. Yes, what we're expecting to see later in the year as we move from Q1 was not fully automated production lines. We were not getting big volume discounts on 53.5. As we move forward later into the year, we're going to be producing off as a fully automated lines, volume discount, high utilization and we expect that to feed through to gross margin improvement, particularly Q3, Q4 because that's when the production scheduled have gotten customers really kick in this year.
Colin Rusch: Excellent. And then with the U.S. facility, can you talk a little bit about equipment procurement and any sort of headwinds or progress that you're making in terms of buying that equipment and getting it into the country?
Yang Wu: I can answer this question. The U.S. facility actually is 100% of narrow is China, the equipment that same supplier, same system, just the different certification that U.S. require a UL certification. And that's why we slightly, the behind a giant China equipment installation. And with the maturity of China site and operation experiencing installation experience, we overcome the all the problems in China. And we think the U.S. is going to be much looser, and also we send the U.S. crew to China for the operation and installation training as well, that's why I expected U.S. is going to be much, much smoother. And we're still on the track on the plan to build this factory before the end of this year. That's our plan to still remain.
Colin Rusch: And then just fine on the sales process, it's great to have the backlog number out here and appreciate that. But I'm curious about your ability to move customers through the sales pipeline and close incremental POS for the balance of this year. I assume someone that backlog is for 2024, but just want to get a sense of how much book and ship business you've got and how those customers are moving through the pipeline?
Yang Wu: Craig, can you take this question?
Craig Webster: Okay. Colin, great to hear you. Generally speaking, the backup we have is probably for '23, '24. And mainly we will we have ongoing tasks, ongoing fleet customers testing out new battery solutions. So -- and there will be a bit of there will be back of increases within this year for sure. So, we started with a lot of testings already in 2022 issue, as you probably remember, and we have to go to a certain test sometimes by bigger customers to summon winter tests. And this will fill effects in Q3 and Q4 for sure.
Operator: And our next question comes from Amit Dayal with H.C. Wainwright. Your line is open.
Amit Dayal: Thank you and good after everyone. Good to see the execution comes through. Just on the CapEx guy, is $35 million primarily targeted towards the Clarksville facility?
Yang Wu: Amit, that's right. I mean, all the spend going forward now is Clarksville. So, as you saw in the slides, Huzhou was done, and we've got remaining milestone payments to contractors, but they will get funded from the undrawn facility. And then, what's really good about Clarksville is the level of engagement that we're getting from customers, we're just seeing feed through into that backlog increase. And then in terms of lenders, there's a lot of lender interest because what we're proving out is that we can we can grow the backlog. The backlog in the U.S. gets the IRA credits and the benefit of them actually seeing that we were experienced that this will be closed the huge capacity expansion. And per Colin's question on equipment and they say, exact same equipment coming into the U.S., which we've just shown that we can bring into ramp phase, so it's very de-risk, and it puts us in a really strong position close the Company in the cloud via how to cash back, Amit. We're raising capital on the debt side of the balance sheet. We don't to be in the equity market. And we're able to do that because we're clearly growing revenues are growing backlog this year.
Amit Dayal: [Technical Difficulty] capacity in China, so really, I mean,
Yang Wu: Amit, you're breaking up. Can you repeat the question?
Amit Dayal: [Technical Difficulty]
Yang Wu: No, your line is not good.
Operator: This is the conference operator. Mr. Dayal, I assume you're on a cell phone maybe you can get to a window or kind of a clear line of sight and try again.
Yang Wu: Operator, is there anyone else ready for a question?
Operator: I think we've got Mr. Dayal.
Cassidy Fuller: Hi, this is Cassidy from the Investor Relations team. We've gotten some questions that I can pose in the meanwhile we'll wait for him to come back. The first is beyond ESS, what commercial do co-projects do you have in the U.S. and when should we expect them to begin to ramp?
Craig Webster: Cassidy, that's a great question which came from the audience. So generally speaking, we have a couple upcoming commercial vehicle and special vehicle projects which are coming as I mentioned already, to Colin, mainly in Q3 and Q4. We are we're still under NDA, but we think that we will be able to disclose quite soon also the project names with our customer together.
Cassidy Fuller: Perfect and one more that we have received is. Can you talk us through what the competitive market is for your 53.5Ah cell and where are the competitors versus you and in the process of ramp up?
Sascha Kelterborn: I can answer this question. You know the 53.5 and power so is dedicated to the commercial vehicle you know when we designed this and we developed for over three years, they take a very long time to test and certify this battery. This battery gives to the much longer the lifespan and there's like a cycle life, this battery is two to three times longer than the competitors battery and they still remain the very high energy density to power the commercial vehicle. Commercial vehicle needs much longer life battery everybody know what to compare with passenger car, like a three times longer distance to drive that's why this battery dedicated that we use this battery to yes it's projects and send batteries and module and it's going to give us you know the system much longer the life and that which give you know the much better the total investment return. And compare with competitors, haven't seen which competitor you know the reach to our performance, we haven't seen it.
Operator: [Operator Instructions] I am seeing no further questions. I'll turn it back to Mr. Wu for closing comments.
Yang Wu: Okay. Thank you all for joining today's meeting. Wish everybody have a good day and a good night, good dream. Thank you.
Operator: That concludes our conference call. Thank you for joining and have a pleasant evening.